Operator: Good day and thank you for standing by. Welcome to the Laureate Education First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Adam Morse, Senior Vice President of Finance. Please go ahead. 
Adam Morse: Good morning and thank you for joining us on today's call to discuss Laureate Education's first quarter 2024 results. Joining me on the call today are Eilif Serck-Hanssen, President and Chief Executive Officer; and Rick Buskirk, Chief Financial Officer. Our earnings press release is available on the Investor Relations section of our website at laureate.net. We've also posted a supplementary presentation to the website, which we will be referring to during today's call. The call is being webcast and a complete recording will be available after the call. I'd like to remind you that some of the information we are providing today, including, but not limited to, our financial and operational guidance, constitutes forward-looking statements within the meaning of applicable U.S. securities laws. Forward-looking statements are subject to risks and uncertainties that may change at any time, and therefore, our actual results may differ materially from those we expected. Important factors that could cause actual results to differ materially from our expectations are disclosed in our Annual Report on form 10-K filed with the U.S. Securities and Exchange Commission, our 10-Q filed earlier this morning, as well as other filings made with the SEC. In addition, all forward-looking statements are based on current expectations as of the date of this conference call, and we undertake no obligation to update any forward-looking statements. Additionally, non-GAAP measures that we discuss, including, among others, adjusted EBITDA and its related margin, total debt, net of cash and free cash flow, are also detailed and reconciled to their GAAP counterparts in our press release or supplementary presentation. Let me now turn the call over to Eilif. 
Eilif Serck-Hanssen: Thank you, Adam, and good morning, everyone. We recently completed our enrollment intake for the first quarter, which includes the primary intake cycle for Peru and a smaller secondary intake for Mexico. Enrollment results came in line with expectations and we are on track to deliver on our operational outlook for the year. In addition, foreign currency rates continue to trend favorable. As a result, we are announcing an upward revision to our full year 2024 guidance by $13 million for revenues and $5 million for adjusted EBITDA. As discussed during our previous call in February, we expect 2024 to be a story of 2 halves, due to the differing market conditions in Mexico versus Peru. The macroeconomic backdrop in Mexico is favorable with robust manufacturing and construction sectors, growth in real wages, increased consumer spending, and the impact of nearshoring bolstering growth prospects. We expect Mexico to deliver strong performance throughout all of 2024. To accelerate our margin progression in this market, we are implementing strategic restructuring initiatives in the first half of the year. As a result, we expect our margin expansion to be more back-end loaded towards the second half of 2024. The market conditions in Peru are softer than those in Mexico. During 2023, Peru experienced its first economic contraction in over 20 years outside of the COVID-19 pandemic. And this economic downturn had lingering effects through the first quarter of this year. This resulted in a relatively flat primary enrollment intake for both volume and pricing, which was in line with our expectations. Given that the primary intake cycle in Peru contributes roughly 2/3 of the new enrollment activity for the year, we expect this primary intake to mute our growth aspirations for Peru for most of 2024. However, like most economists, we continue to anticipate an economic recovery in Peru during the second half of 2024. That recovery should begin to benefit us in the fourth quarter, following through smaller intake in September. As we move into 2025, we do expect to return to higher growth rate, that is more aligned to our targeted 8% to 10% top line growth profile. We are the leading higher education company in Mexico and Peru, which we believe to be the 2 most attractive private education markets in Latin America. We continue to see favorable sector growth momentum in both these markets. This growth is driven by the expansion of middle class, which in turn is fueling the rising participation rate in higher education. As the largest private higher education operator in Mexico and Peru, we are well positioned to serve this growth. We have 5 institutions positioned at differentiated levels in the education spectrum, all with leading brand positioning in their respective markets. Our institutions enable affordable, high-quality education through an innovative mix of face-to-face, hybrid and fully online delivery modes with a strong emphasis on health sciences, STEM and business courses. And we continue to focus on product innovation through program extensions, the rollout of our digital product portfolio for working adults, as well as targeted campus expansions in new and adjacent markets. Our predictable revenue stream is supported by an average program length of 4 years, stable retention levels, and a private pay model. Additionally, our operating discipline, supported by our omnichannel distribution capabilities, has resulted in a robust, profitable and capital-light business model with strong cash flow generation. Our future has never been brighter. On April 1, we celebrated Laureate's 25th anniversary. Throughout the past 25 years, we have positively influenced millions of lives and broadened access to quality higher education. My sincere gratitude goes out to all faculty and staff, past and present, who have played a significant role in our success. As we look forward, we recognize the opportunity to build upon this legacy and further the positive impact we have on society for many more decades to come. I encourage you to visit our website and download a copy of our recently published 2023 Impact Report. Here, you can learn more about the outstanding work our students, faculty and institutions are currently doing in their communities throughout Mexico and Peru. Just to touch on a few highlights, UVM and UNITEC have both been recognized as socially responsible companies by the Mexican Center for Philanthropy for the 15th and the 14th consecutive year, respectively. UPC was rated the most sustainable university in Peru according to the 2023 Merco ESG Responsibility Ranking, which evaluates Latin America's top 100 sustainable companies based on environmental, social and corporate governance criteria. UPN was recognized as a top 6 university for environmental sustainability in Peru by the Interuniversity Environmental Network based on UPN's implementation of sustainable practices and policies. In addition to our success at the institution level, our students across both Mexico and Peru continued to meaningfully impact their communities in 2023 by contributing over 1 million volunteer service hours. In Mexico alone, we provided essential medical and dental services to 168,000 community members. Meanwhile, in Peru, our health clinic provided 189,000 hours of free or low cost medical and dental care to members of our communities that otherwise would not have had access to affordable quality health care. I am so proud to be part of Laureate and to have colleagues who care so deeply about expanding the middle classes in Mexico and Peru by providing quality higher education at affordable prices. This concludes my prepared remarks, and I will now turn the call over to Rick Buskirk for a more detailed financial overview of our first quarter performance, as well as further details on our 2024 full year outlook. Rick? 
Richard Buskirk: Thank you, Eilif. Before I discuss our financial performance for the quarter, let me provide a few important reminders on seasonality. First, campus-based higher education is a seasonal business. The first and third quarters represent our 2 largest intake periods. The 2 intake periods account for more than 80% of our total new enrollment activity for the year. From a P&L perspective, both are seasonally low periods as classes are out of session for most of those months. In contrast, the second and fourth quarters are not large enrollment intake periods, but generate higher revenue and adjusted EBITDA for the year. In addition, the timing of the start of our classes can shift year-over-year depending on various factors such as when holidays occur. This in turn affects the timing of revenue recognition and quarter-over-quarter comparability. In 2024, the beginning of classes for working adult programs in Peru and health science programs in Mexico started later versus 2023. This will shift approximately $14 million of revenue and $11 million in adjusted EBITDA from the first quarter to the second half of the year. As I discussed, operating results for the first quarter and our guidance expectations, I will provide additional color on these timing impacts. Let me now move to the operating and financial performance for the first quarter starting on Page 11. To begin, enrollment results and associated pricing were in line with our expectations in both markets. We continue to see strong growth in Mexico and resiliency in Peru. New and total enrollment volumes increased 1% and 5%, respectively, when compared to the prior year quarter with growth led by Mexico. Revenue in the seasonally low first quarter was $275 million and adjusted EBITDA was $31 million. Both metrics were ahead of the guidance provided 3 months ago with operational performance within the guidance range, while FX provided some additional uplift. On an organic constant currency basis and adjusted for the academic calendar shift discussed earlier, revenue for the first quarter was up 7% year-over-year and adjusted EBITDA increased by 11%. Let me now provide some additional color on the performance of Mexico and Peru starting with Page 13. Please note that all comparisons versus prior year quarter are on an organic and constant currency basis. Let's start with Mexico. The first quarter represents a smaller secondary intake. Their large intake occurs each September and follows the Northern Hemisphere calendar. During the first quarter, Mexico's new enrollments increased 7% versus the prior year period, led by strong growth in working adult-focused fully online programs. Total enrollments were up 9% versus the first quarter of prior year due to the favorable primary intake last fall and the growth in new enrollments realized during the intake. Adjusted for timing of the academic calendar, Mexico's revenue for the first quarter increased 10% compared to the prior year period due to its strong volume growth. Adjusted EBITDA for the first quarter, adjusted for timing of the academic calendar was up 20% versus the prior year period, led by productivity gains and volume growth. A portion of the restructuring activities we had initially planned for the first quarter are now expected to be carried out in the second quarter. Let's now transition to Peru on Slide 14. The first quarter represents the primary intake for Peru as they are a Southern Hemisphere institution. For the first quarter, new and total enrollments came in line with our expectations. New enrollments declined slightly by 2% for the intake cycle, negative 3% for the reported quarter, while total enrollments increased by 1% compared to the first quarter of the prior year. Growth in total enrollments was led by the strength of our re-enrollment campaign in that market. Adjusted for timing of the academic calendar, Peru's revenue for the seasonally low first quarter increased 1% versus the prior year period, driven by volume growth on relatively flat pricing. In Peru, we recognize the economic challenges currently faced by our students. For this intake cycle, as planned, we responded by enhancing our discounts and scholarships. This provided essential support during this recovery period and resulted in essentially flat year-over-year pricing during the intake. Adjusted EBITDA for the quarter, adjusted for timing of the academic calendar, was down $7 million compared to the prior year period, largely due to seasonality. The first quarter in Peru is largely out of session summer period with fixed costs. Let me now briefly discuss our balance sheet position. Laureate ended March with $126 million in cash and $228 million in gross debt for a net debt position of $102 million. The $24 million increase in net debt versus year-end is primarily attributable to the $33 million of stock repurchases executed during the quarter under our newly announced $100 million stock repurchase authorization. Our balance sheet remains strong with less than 1/4 turn of net leverage. Moving on to our outlook for 2024, starting on Page 16. We are increasing the overall guidance range by $13 million for revenue and $5 million for adjusted EBITDA to reflect more favorable currency rates. Based on current spot FX rates, we now expect full year 2024 results to be as follows: total enrollments to continue to be in the range of 467,000 to 473,000 students, reflecting growth of 4% to 5% versus 2023; revenues are now expected to be in the range of $1.566 billion to $1.581 billion, reflecting growth of 6% to 7% on an as-reported basis and 5% to 6% on an organic constant currency basis versus 2023; adjusted EBITDA is now expected to be in the range of $446 million to $456 million, reflecting growth of 6% to 9% on both an as-reported and organic constant currency basis versus 2023. We continue to expect adjusted EBITDA to unlevered free cash flow conversion to be in the high 30% range on a reported basis for 2024. As we have discussed on prior calls, we are still in the process of winding down legacy Laureate and noted that those activities would run through the end of this year. Our 2024 cash flow expectations include one-time legacy Laureate payments of approximately $45 million, primarily related to deferred taxes. A large portion of that will be paid during the second quarter. Absent these cleanup items, our adjusted EBITDA to unlevered free cash flow conversion is still expected to reach approximately 50% in 2024, on par with the level we achieved in 2023 and our stated target profile. Now, moving to the guidance for the second quarter and first half of the year. For the second quarter of 2024, we expect revenue between $480 million and $486 million. Adjusted EBITDA of approximately $172 million to $175 million, which includes $4 million of restructuring costs in Mexico related to our margin optimization plan. This would result in first half constant currency revenue growth of 5% to 6%. As expected, from an adjusted EBITDA margin perspective, margins for the first half of the year are anticipated to be down roughly 230 basis points versus the first half of 2023. This is due to the timing of the academic calendar, one-time restructuring costs in Mexico and relatively flat pricing during the primary enrollment intake in Peru. For second half of the year, we do expect significant margin expansion of approximately 300 basis points as compared to the second half of 2023 as we recover the academic calendar timing impact, return to growth in Peru following the anticipated macro recovery and past the one-time restructuring costs incurred in the first half. For the full year 2024 that would result in anticipated reported net margin gain of approximately 40 basis points, approximately 50 basis points FX-neutral, continuing our progression towards our 30% adjusted EBITDA margin target. That concludes my prepared remarks. Eilif, I'm handing it back to you for closing comments. 
Eilif Serck-Hanssen: Thank you, Rick. We are on track to deliver on our commitment for 2024 with some potential upside from favorable foreign exchange rates. We continue to experience robust operating performance in Mexico and all signs points to continued strong growth opportunities in that market. In Peru, our performance during the primary intake just completed underscores the resiliency of our business model. We delivered modest growth in total enrollments despite Peru experiencing its first recession in over 2 decades. We are encouraged by the early indications of an economic recovery in Peru and expect to return to more normalized growth rates as we exit 2024. We believe that our leading brands, strong digital capabilities and unwavering commitment to academic quality and student outcomes positions us well for continued growth. Operator, that concludes our prepared remarks, and we are now happy to take any questions from the participants. 
Operator: [Operator Instructions] Our first question comes from the line of Jeff Silber of BMO Capital Markets. 
Jeffrey Silber: I wanted to start on Peru. You talked about the expected economic recovery in the second half, and I'm assuming that you're relying on economies for that, and that's fine. But even if that does happen, isn't there going to be some sort of lag between that happening and enrollment starting to inflect? 
Eilif Serck-Hanssen: Yes, that's correct. You're seeing economic data already improving. First quarter was a positive GDP quarter for Peru. We are seeing increase in real wages. We're seeing an increase in employment. We're seeing increase in consumer confidence. And when we're tracking key indicators such as credit card spending by the different category of where disposable income goes, we're seeing also bottoming out or slight improvement in certain categories. So that indicates that the economy is already improving. But there is a bit of a lag effect before our customers have been able to replenish their coffers efficiently in order to attend college. So we saw a lot of students and prospects during our C1 intake of -- during the first quarter that just simply was not ready yet to commit and deferred to the second intake in September. So we're looking at the top of the funnel. We're looking at the interest and have high expectations that second half of 2024 will be more normalized. And at that point, the lag effect has caught up. 
Jeffrey Silber: And when you say normalized, do you think you'd have new enrollment growth in that second intake period in Peru this year? 
Eilif Serck-Hanssen: Correct. 
Jeffrey Silber: Okay, good. That's helpful. And then just 1 quick question. You mentioned, and you and Rick mentioned restructuring a few times. I just want to make sure we're talking about the restructuring that you did in Mexico previously, not a new program that you're just announcing? 
Eilif Serck-Hanssen: That's correct. This relates to the consolidation of certain campuses to get more scale and better student experience out of some of our smaller, more fragmented campuses. 
Jeffrey Silber: Okay, great. Just wanted to confirm that. 
Operator: [Operator Instructions] Our next question comes from the line of Mauricio Cepeda of Morgan Stanley. 
Mauricio Cepeda: A question on Peru, in fact, I understand that there is a seasonal effect there. There is a pressure of fixed costs. But if we consider the variations in revenues and the variation in EBITDA, in terms of absolute EBITDA, it seems that there is much more loss of EBITDA than of revenues. So if you could comment if there is any other kind of cost pressure in Peru, that is in terms -- in absolute terms, not just an operation deleveraging there? I think it would be great. And if you also could comment about Mexico, if you already see any kind of nearshoring effects on the intakes already? If there is anything concrete that is happening in Mexico regarding nearshoring? 
Eilif Serck-Hanssen: Mauricio, this is Eilif. I'll take the second and Rick will comment on the seasonality and proving out of session for the first quarter. But in Mexico, yes, we're seeing an uplift in demand that we believe is related to nearshoring. We are seeing more demand for undergraduate program than what we have seen in the past. It's a little hard to say what part of that is directly related to nearshoring versus what is related to just a stronger GDP performance in Mexico over the last 12 months versus the last decade. But I think also those 2 things are somewhat related. We are also seeing a significant increase in demand and interest among working adults for our fully online product. And again, I assume some of that is linked to nearshoring. But also I think some of that is related to the fact that during COVID, Laureate was seen to deliver high-quality fully online product in a very convenient manner for the working adult. And society has been trained that quality education can be delivered in a fully online manner for the working adult student. So some of it is economy related, some of it is product and innovation related. But also I think some of it is the fact that the GDP in Mexico is being boosted from nearshoring, and I think that is likely to be more of a macro trend as opposed to just a seasonal blip in the economic cycle. 
Richard Buskirk: Mauricio, I'll take your -- I'll pause there and see if that answered your question for Eilif and then I can move on and answer your second question on Peru. 
Mauricio Cepeda: No, no, no. It's very clear. 
Richard Buskirk: Okay, great. I think on your question on Peru is related to the EBITDA, the down EBITDA in the first quarter in Peru. So there's really 3 effects going on there. The first effect is a change in the academic calendar where we shifted $10 million of revenue out of the first quarter, that will be realized in the second half, and that was associated $7 million in adjusted EBITDA. The second factor that happened is that, obviously, our expense structure is a lagging -- has a lagging effect to inflation, and our costs increased over 4% in Peru in the first quarter relative to last year. That's pushing it down when we took flat pricing. And then there was a third effect where, as expected, we anticipated a bit higher bad debt this year in that market. That was the lag effect of the C2 in second half that we saw last year of the recession. So we expected that to roll forward, impact us in the beginning of this year. And that was reflected in the guidance that we provided earlier in the year and reinforced today. 
Mauricio Cepeda: Okay, I understand. Yes. So the point is that, in absolute terms, I understand that there is this kind of revenue shift. It explains the revenues, but the absolute cost, there was an increase. So per your answer, I understand, there is 2 effects, an inflation lag and a kind of a provision for doubtful debt, right, that transition as well, if I understood that correctly? 
Richard Buskirk: That's correct. 
Mauricio Cepeda: Okay. 
Richard Buskirk: And you'll see that in our financials in Q1 was bad debt was up a little bit year-over-year in the first quarter. 
Operator: I am showing no further questions at this time. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.